Operator: Ladies and gentlemen, thank you for standing by and welcome to the Sally Beauty Holdings Q1 Fiscal 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to turn the conference over to Mr. Jeff Harkins, Vice President of Investor Relations for Sally Beauty Holdings. Please go ahead.
Jeff Harkins - Sally Beauty Holdings, Inc.: Thank you. Before we begin, I would like to remind you that certain comments including matters such as forecasted financial information, contracts for business and trend information made during this call may contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Many of these forward-looking statements can be identified by the use of words such as may, will, should, expect, anticipate, estimate, assume, continue, project, plan, believe and similar words or phrases. These statements are subject to a number of factors that could cause actual results to differ materially from expectations. Those factors are described in Sally Beauty Holdings' filings with the Securities and Exchange Commission including its most recent Annual Report on Form 10-K. The company does not undertake any obligation to publicly update or revise its forward-looking statements. The company has provided a detailed explanation and reconciliations of its adjusting items and non-GAAP financial measures in its earnings press release and on its website. With me on the call today are Chris Brickman, President and Chief Executive Officer; and Don Grimes, Senior Vice President, Chief Financial Officer and Chief Operations Officer. Now I'd like to turn the call over to Chris.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you, Jeff, and good morning, everyone. First, I will provide a brief overview of our performance for the quarter and review the progress we have made on our strategic initiatives. Don will then discuss our first quarter results in more detail. Consistent with our expectations, this was a challenging quarter in terms of revenue growth. The first quarter was impacted by a continuation of disappointing traffic trends in our U.S. Sally Beauty stores, an additional day of store closures versus the prior year for our Beauty Systems Group stores due to the holiday calendar and the residual impact of Hurricane Maria in Puerto Rico. I'll address how we're combating the traffic challenges in just a moment. Despite the disappointing revenue delivery, we were pleased that our operating expense discipline enabled us to surpass our expectations for both reported and adjusted diluted earnings per share, even after excluding the net benefits from U.S. Tax Reform. Modest declines in consolidated net sales and gross margin were offset by benefits from our 2017 Restructuring Plan, tight control of discretionary expenses and lower interest expense. We also continue to strategically return cash to shareholders via stock repurchases totalling approximately $65 million in the quarter. Our focus remains on initiatives and opportunities to drive profitable revenue growth. Related to that, we expanded the Canadian footprint of our Beauty Systems Group segment in the quarter by acquiring a profitable distributor in the province of Québec. The December acquisition included 21 stores, 40 distributor sales consultants, one warehouse and the distribution rights for certain professional brands in Québec. Additionally, this transaction provides BSG with its first presence in the Québec province as well as a national footprint in Canada. Moreover this acquisition establishes an infrastructure for the potential addition of Sally Beauty stores in the province of Québec in the future. In addition, we accelerated investments in our Sally Beauty e-commerce fulfillment capabilities to allow us to offer free two-day delivery on minimum orders of $25 to more than 90% of U.S. households, a service level we attained last month, well ahead of the original schedule. We are beginning to see positive results as our Sally Beauty e-commerce sales increased 23% over the prior year, driven by increased customer traffic and conversion. Now that we have completed the fulfillment center upgrades, we plan to market our free two-day delivery promise to customers across the country and we expect this will further accelerate growth. In the latter half of the quarter, we successfully launched COL-LAB in Sally Beauty stores in the U.S. and Canada, a new exclusive cosmetics line developed by several influential beauty bloggers. Early results have been impressive and are helping drive growth in the category. Additionally, we successfully completed many of the initiatives outlined in our 2018 Restructuring Plan, the primary goal of which is to leverage the full scale of our consolidated European business and deliver additional cost savings. Regarding U.S. Tax Reform, on December 22, 2017 the U.S. Congress enacted sweeping new tax legislation. Among other things, U.S. Tax Reform reduces the federal statutory tax rate for corporate taxpayers from 35% to 21%, provides for a deemed repatriation of undistributed foreign earnings by U.S. taxpayers at low rates, makes other fundamental changes on how foreign earnings will be taxed by the U.S. and otherwise modifies corporate tax rules in significant ways. At this point in time we expect that a significant portion of the benefits from U.S. Tax Reform will flow directly through to our earnings. Also, we expect incremental cash flow that will allow us to both continue our strategy of returning capital to our shareholders while maintaining appropriate leverage. In order to ensure that this is the case, we have been working on a comprehensive review of our cost base that we believe will generate additional margin improvement and SG&A benefits that should fund most of our long-term strategic initiatives and also help address the need for wage increases for our store associates to make sure we remain competitive in the labor market. Regarding our long-term strategic investments, in fiscal 2018 we are embarking on the implementation of a new inventory and supply chain platform, consisting of several modules that will be phased in over the next few years. This important capital project will add several benefits including increased sales from a more tailored product assortment and placement and meaningfully lower out-of-stock inventory, gross margin expansion from reduced inventory obsolescence, and lower inventory levels from better visibility and forecasting capabilities. This is a critically important multi-year strategic investment that we are very excited about. We have a dedicated cross-functional team comprised of our own employees and outside consultants working on nothing but this project and we anticipate going live with the first phase of our new system later this fall. Beyond this, we will be implementing a new point-of-sale system in the latter part of fiscal year 2018 that we believe will improve the customer store experience, enhance our CRM and marketing efforts, and allow for EMV compliant credit card processing for both business segments. We are currently working on the design and development and the plan to roll the new POS system to our Sally Beauty stores in the U.S. and Canada beginning in early fiscal 2019, followed thereafter by the BSG stores with the full rollout extending into fiscal 2020. I'll now spend a few minutes focused on the unique strategies designed to drive growth in each of our core business segments. In Sally Beauty, prior to the holiday season we made the decision to reinvest some of the margin we have captured through price increases as well as additional vendor support in order to be more competitive on SKUs that overlap with mass competitors. We believe that lowering prices on these select SKUs will reinforce our value position with customers. Although it will take time for this pricing strategy to change customer behavior, we continue to believe it's the right strategy and that it will enable future growth. We also continue to focus on innovation as a means to drive top line growth and traffic in our domestic Sally Beauty stores. In addition to the launch of a new vibrant color line Arctic Fox, an easy to apply professional line that is backed by a major social media influencer, we have other launches planned for this year including a new vibrant color line designed by Cody, a new appliance launch that will bring BaByliss tools to Sally Beauty for the first time, a new professional hair care line, Rusk, and a new multicultural healthcare brand Texture ID. Additionally, we are designing and testing a number of in-store initiatives that seek to reinforce what Sally Beauty is best known for amongst its core consumer base, hair color and care. Some of these initiatives include repositioning hair color to a more prominent and accessible location, lowering gondolas to provide better line of sight to our color and care offering, better in-store communication materials designed to take the mystery out of in-home hair coloring, and finally testing boxed color in our Sally Beauty stores. The latter initiative is grounded on recent consumer research we conducted that shows that a high percentage of our loyal Sally Beauty customers still rely heavily on the simplicity and ease of boxed color. Up until now Sally Beauty has sold only professional color with color separate from developer and separate from the accessories needed to complete the task. If our customers desire a boxed color option, we intend to provide that. We anticipate that we will have a couple of boxed color options in our Sally Beauty stores later this year. In addition, we are continuing to monitor the test of our new loyalty program in approximately 300 stores in Florida and Georgia with the goal of increasing traffic over time by acquiring more loyalty members and engaging with them on a regular basis via e-mail and direct mail communications. Enhancements were added to the test program including improved communication to our customers and training for our associates in order to drive more traffic. In addition to correcting the BCC renewal prompts in the non-test stores, we also added a similar loyalty program for the professional customer in the test stores. With these changes, we expect the test results will continue to improve and we will continue to assess and if necessary further refine the test pilot before making a final decision regarding rolling the program out to all Sally Beauty stores in the U.S. and Canada. In an effort to align our marketing spend with the best way to reach our customers, the Sally Beauty team, as noted above, has been working diligently to better understand our customer segments, where they shop, how they shop and the best way to communicate with them. Based upon qualitative and quantitative analysis, we are modifying our approach to how we communicate with our customers and we will be reallocating our marketing spend to more impactful channels going forward. Based on customer segmentation, we will increase our focus on direct mail to the groups of consumers who prefer that medium over digital options. For other customers, we will continue to focus on engaging influencers who share how-to videos featuring many of Sally Beauty's exclusive professional products. We have significantly increased our social media presence this year and have aggressive growth plans in the coming months. We continue to evolve our influencer event strategy, including a recent hands-on editor event in New York and we will be participating in a national cheer event in Dallas. We continue to be excited about the progress we are making in social media as a platform to gain new customers and increase our competitiveness. We also continue to leverage and expand our girlfriend-in-the-know selling model, which is designed to create a genuine connection between our customers and associates. By actively and authentically engaging our customers, our beauty advisors are able to appeal to new shoppers and inspire loyalty in existing customers, which we believe will drive increased customer conversion. As an indication that the selling model is gaining traction, in the first quarter, Sally Beauty delivered modest growth in both average ticket and units per transaction. Now turning to BSG, as most of you are aware, our BSG business is the leading distributor of professional beauty products in the U.S. and the CosmoProf brand is a trusted partner for the vast majority of beauty professionals. In support of its leading position, the BSG team continues to drive top line growth by winning exciting new brands. For example, #mydentity, Babe Lash, ColorProof and Twisted Fringe continue to drive additional sales since being introduced over the last few quarters. New products and brands are the lifeblood of the industry and we will continue to work with our vendor partners on new brand development and acquisition, while pruning slower moving lines and SKUs in order to deploy our working capital more efficiently. In order to efficiently market these brands, BSG has worked to develop the largest community of social media influencers in the professional beauty space. In 2017, we launched our first CosmoProf Artistic Team made up of major influencers with broad followership within the hair and beauty community. In 2018, we have expanded this team to broaden our social media reach and impact. We believe this investment gives us and our brand partners the loudest voice and greatest reach within a stylist community that uses social media as the primary vehicle for sharing ideas and designs, recruiting new customers and learning new techniques. Additionally, we will continue to evaluate territory expansion opportunities for BSG through acquisitions similar to those we have completed in the past, a great example of which is the acquisition in Québec that I mentioned earlier. Meanwhile, our CosmoProf mobile app launched just one year ago continues to experience solid growth in the number of downloads and active users as well as garnering positive feedback from professional stylists. Currently, we have over 116,000 active users logging in and using the CosmoProf app on a regular basis. On the CRM front, we continue to build our e-mail database to drive incremental traffic and sales by targeting promotions to specific customers in order to drive traffic to our website and stores. Finally, in the first quarter, BSG launched a new selling model, the EPIC customer experience, focused on merging BSG's actions, brand promise and brand pillars of Education, Professional Products, Inspiration and Community. The program is designed to highlight BSG's commitment to being the place for licensed professionals to learn, be inspired, and reach their full potential. To summarize, we made solid progress in the first quarter on key strategic initiatives but acknowledge that we have yet to see the results in the top line. While we recognize that we have a great deal of work to do, we firmly believe we are working on the right initiatives that will help improve the company's revenue trend, particularly in our U.S. Sally Beauty business. Now I will turn it over to Don to discuss the results in more detail.
Donald T. Grimes - Sally Beauty Holdings, Inc.: Thank you, Chris, and good morning, everyone. As Chris noted, although the quarter was challenging from a revenue growth standpoint, we were still able to exceed our expectations for both adjusted operating earnings and adjusted diluted earnings per share even after excluding the benefits of U.S. Tax Reform. Additionally, we believe the steps we're taking to fully leverage our scale and clout with third-parties and find meaningful efficiencies in every corner of our operations will enable us to fund the important strategic initiatives that Chris just discussed. And we believe that successful execution of these initiatives is crucial to positioning the company for profitable growth in future years. Turning to some of the details of the quarter, consolidated revenue was $995 million in the quarter, down 0.5% versus the prior year with favorable foreign exchange and a modest revenue contribution from our newly acquired business in Québec, Canada, offset by a 2.2% decline in consolidated same-store sales and one less selling day in our CosmoProf stores due to the holiday calendar. Foreign currency translation had a favorable impact of approximately $11.8 million or 120 basis points on reported revenue growth. The hurricanes, particularly Hurricane Maria, that disrupted operations in the fourth quarter of fiscal 2017, continued to have a lingering effect on business in Puerto Rico, especially in the first half of the fiscal quarter. The negative impact of the hurricanes on both revenue growth and same-store sales growth was approximately 40 basis points. Gross margin in the quarter was 48.9%, a decrease of 30 basis points compared to the prior year. Benefits in the quarter from prior year pricing initiatives in both segments were offset by a geographic revenue mix shift in the Sally Beauty segment towards the lower margin international businesses, a segment revenue mix shift towards the lower margin BSG segment and strategic pricing reductions in the Sally Beauty segment. Selling, general and administrative expenses, including depreciation and amortization expense, were $371.3 million in the quarter, a decrease of $3 million or 0.8% from the prior year, as benefits from the 2017 Restructuring Plan focused primarily on North American operations and tight control over discretionary expenses were only partially offset by higher labor cost and negative foreign exchange translation. As a percentage of revenue, SG&A declined 10 basis points from 37.4% in the prior years' fiscal first quarter to 37.3% in the current years' quarter. Adjusted operating earnings and adjusted operating margin, both of which exclude $5.2 million of restructuring charges related to the 2018 Restructuring Plan, were $115.3 million and 11.6%, respectively, down slightly compared to the prior years' adjusted operating earnings and adjusted operating margins. Regarding the new tax legislation that Chris mentioned earlier, the provisions of U.S. Tax Reform are generally effective for taxable period beginning after December 31, 2017. However, at December 31, 2017, we had to revalue the deferred income tax accounts on the balance sheet considering the new rates and also recognize any impact of the deemed repatriation of undistributed foreign earnings on our financial statements based on the enacted tax law. For the first quarter, we recorded an income tax benefit of approximately $33.6 million, in connection with the revaluation of deferred income tax assets and liabilities to the new rate, partially offset by a charge of $11.4 million for federal and state income taxes related to the deemed repatriation of accumulated, undistributed earnings of foreign operations. Netted together, these two one-time adjustments resulted in a $22.2 million reduction and tax expense in the quarter equivalent to $0.17 per share. In accordance with the recent SEC guidance, these are provisional amounts that are subject to change as estimates become actuals and further guidance is released by the Internal Revenue Service. Additionally, our federal statutory tax rate in the quarter was 24.5%, which represents a blended full year statutory rate with one quarter at the old higher statutory rate of 35% and three quarters at the new lower statutory rate of 21%. The benefit of the lower full year statutory rate applied to the company's pre-tax income was $0.07 per share in the quarter. Thus, the total year-over-year benefit from U.S. Tax Reform in the quarter's results was $0.24 per share. Adjusted diluted earnings were $0.68 per share, a growth of 74.4% compared to the prior years' $0.39 per share, driven by the $0.24 per share benefit from U.S. Tax Reform, reduced share count from current year and prior year share repurchases and lower interest expense related to the company's prior year debt refinancing. We deployed our free cash flow to repurchase total of 3.8 million shares during the quarter at an aggregate cost of approximately $64.5 million. At the end of the quarter, inventory was $941.1 million, up 1.1% versus the prior year, driven by incremental inventory related to the Canadian acquisition that closed in the quarter, the addition of new brands and the impact of a weaker U.S. dollar. We have a number of initiatives we are pursuing that are designed to better manage inventory flow from our distribution centers to our stores, the end result of which will be improved inventory turnover and a reduction in working capital. We believe these initiatives will bear fruit even before the full implementation of the new inventory planning software that Chris discussed earlier. Turning to segment performance, in the first quarter, our Sally Beauty segment generated revenue of $585.6 million, a decrease of 0.7% compared to the prior year. Foreign currency translation boosted this segment's revenue growth in the quarter by 170 basis points. Same-store sales decreased 2.6%, with the lingering impact of the hurricanes late in the prior fiscal year contributing approximately 50 basis points of the decline. Gross margin for the segment was down 40 basis points to 54.6%. Benefits in the quarter from prior year pricing initiatives on own brands were offset by strategic pricing reductions and a geographic revenue mix shift towards the lower margin international business. Operating earnings were $86.6 million, a decrease of 6.4% versus the prior year with the impact of the lower revenue and gross margin only partially offset by the benefits from the 2017 Restructuring Plan and general operating discipline. Now turning to our Beauty Systems Group segment. BSG revenue in the quarter was $409.4 million, down 0.1% versus the prior year. BSG was negatively impacted from having one less selling day this quarter compared to the prior year due to the stores being closed this year on both Christmas Eve and Christmas Day versus being closed only on Christmas Day last year. Foreign currency translation increased BSG's revenue growth by approximately 40 basis points. Reported same-store sales declined 1.3%, including a 10 basis point negative impact from the prior year's hurricanes and the impact of one fewer selling days in the quarter. BSG's gross margin was 40.8% in the quarter, down 10 basis points from the prior year. The benefit of prior year pricing initiatives was offset by the impact of lower average order sizes on distributions in our productivity. Operating earnings for BSG were $64.6 million, up 1.5% from the prior year, driven by the savings from the 2017 Restructuring Plan and again general operating discipline. Operating margin in the quarter was 15.8%, an increase of 30 basis points from the prior year. During the first quarter, the company announced and successfully completed several key initiatives related to the 2018 Restructuring Plan, which is focused on significantly improving the profitability of our international businesses with a particular focus on our European operations. Restructuring charges of approximately $5.2 million related primarily to employee separation cost were recorded in the first quarter. The company still expects total charges related to the 2018 Restructuring Plan in a range of $13 million to $14 million, with approximately $12 million to be recorded in fiscal 2018. The company still expects to realize annualized benefits in a range of approximately $12 million to $14 million from the initiative, with the benefit of approximately $8 million to be realized in fiscal 2018. Approximately $0.5 million of this benefit was realized in the first fiscal quarter. Turning to guidance for the remainder of the fiscal year, the company is maintaining its guidance of full year consolidated same-store sales to be approximately flat, with improved comps in the second half of the fiscal year, particularly, in the fiscal fourth quarter, which was so significantly impacted by three hurricanes last year. With the addition of new stores and BSG's Canadian acquisition, the company now expects consolidated year-end store count to increase slightly compared to the prior year, and we expect foreign exchange translation to represent a modest full year benefit to revenue growth. Additionally, the company now expects full year gross margin to be approximately flat compared to the prior year. Full year selling, general and administrative expenses, including depreciation and amortization expense are now expected to be approximately 37.5% of sales versus 37.2% of sales in the prior year. Reflecting the benefit of U.S. Tax Reform including the one-time adjustments discussed earlier, our consolidated effective tax rate for fiscal 2018 is expected to be in the range of 22% to 24%. At this time, the company expects the majority of the benefits from U.S. Tax Reform to flow directly through to our shareholders, as we are still evaluating potential investment opportunities afforded by the legislation. Full year reported operating earnings are still expected to increase slightly, due primarily to lower restructuring cost in fiscal year 2018. Full year adjusted operating earnings, including the impact of the hurricanes in both years and the strategic investments to drive future growth are still expected to decline slightly. However, the company expects full year benefits from its debt refinancing, lower average share count, and now the added benefits of U. S. Tax Reform to result in strong double-digit growth in both full year reported and adjusted diluted earnings per share. Capital expenditures for fiscal 2018, including the investments behind the strategic initiatives noted earlier are still expected to be approximately $110 million. While we're working to execute important strategic initiatives, including the test of the new Sally Beauty loyalty program, investments in our e-commerce fulfillment capabilities and more effective marketing platform, compelling new product introductions and the implementation of a new point-of-sale system and new merchandise and supply chain platform, we will continue to seek opportunities to run our business more efficiently, both within our own organization and be in more productive partnerships with outside service providers. Thank you for your time this morning. Now I'd like to turn the call back over to the operator for Chris and I to take your questions.
Operator: Thank you. And we'll go to the line of Oliver Chen with Cowen & Company. Please go ahead.
Oliver Chen - Cowen & Co. LLC: Thanks. Good morning, Chris and Don. There is a lot of exciting initiatives ahead. Well, how will you balance the sequencing and managing risk? And also, as we think about the inventory, the pricing, the marketing, the POS and loyalty, any thoughts on timing of these different aspects and what we should focus on, on earlier versus later impact and just making sure you manage the sequencing to a minimal disruption and positive upside impact? And the second question I had is just a briefing on direct mail. Direct mail has been a tool that you've used in different ways. I'm just curious about now versus in the past and context around why this is the right decision at this point in time? The marketing changes going on in the environment are so rapid. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: There's a lot there, Oliver, but let me try and tackle it. So on disruption, the number one thing we're trying to do here is: a, put the right talent to get this and in key places, also bring in outside talent for outside support so that we can make sure we can execute without disrupting the core business. It's a priority, the leadership team, and we're meeting on it literally every other week, and we're adding talent and adding people in key places in order to make sure that we can execute these projects without disrupting our daily sales and our performance. What I would say in terms of what I think will hit first, the things that are going to have the greatest impact on comp in the short-term, for Sally, it's some of the new products and brands that came in late in the quarter and are scheduled for next year. I'll talk about direct mail but it's a more focused marketing spend allocation. I think easier comps will help as well. And then, finally, we really expect e-commerce to be ramping up here on the Sally side in the coming months and quarters, now that we've completed the build-out of the infrastructure. On the BSG side, I think what you're going to see, the greatest short-term positive impact is the improvement in category Y, which we've been working on for months to fix and seems now to be trending positive and is – should be a contributor in future quarters. Progress in shoring up the electrical appliance category, specifically by hitting more aggressive key price points and then some new products and brand acquisitions in the back half of the quarter. I think most of our initiatives, longer-term initiatives, will have an impact more on 2019 and 2020, other than the e-commerce investments, which we've completed much of that investment now and should have a more immediate impact. Finally, on direct mail, what we have found is that some of our older demographics really respond better to direct mail than our younger demographics and so it's really about more tightly segmenting how you spend your money and making sure you give direct mail to the customers who still want that, while then shifting to more modern channels for the customers who have moved on from that. And we're just getting better at optimizing across that, and that, therefore, we expect we'll get a better return on our investment overall as a result of reallocating.
Oliver Chen - Cowen & Co. LLC: Thank you. Best regards.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet. Thanks, Oliver.
Operator: Next, we'll go to the line of Olivia Tong with Bank of America. Please go ahead.
Olivia Tong - Bank of America Merrill Lynch: Thanks. Good morning. First question, just I want to better understand the outlook. It looks like your operating profit, potentially is essentially unchanged, sales about the same, gross margin a touch worse, SG&A a little bit better. So first, is that fair to assume that, excluding any change, the tax change, your fiscal year EPS outlook is plus or minus unchanged?
Donald T. Grimes - Sally Beauty Holdings, Inc.: Excluding the benefit of tax reform, yes, it's essentially unchanged.
Olivia Tong - Bank of America Merrill Lynch: Got it, perfect. Okay. So then I guess on the expense line, there's quite a number of initiatives in place to improve traffic and growth. They sound really innovative. But I'm questioning, is that already assumed in your expenses for this year or more of that's going to be sort of in 2019 or 2020, as Chris has mentioned?
Christian A. Brickman - Sally Beauty Holdings, Inc.: No, as I mentioned earlier, we knew there's a lot of investment that we're going to have to make and we knew that well before tax reform passed. As a result of that, last quarter, we launched a new initiative to really do a thorough review of our entire cost base, not just overhead, but really how we procure our indirect categories, how we procure our private label categories and even how we manage and negotiate with our branded vendors. And having done a thorough review of that, we are now launching into an implementation phase that we believe can free up significant resources for reinvestment and allow us to continue deliver on our earnings objectives while still investing in these new initiatives.
Olivia Tong - Bank of America Merrill Lynch: Perfect. Thanks. And then in terms of these initiatives that you are putting in place, clearly, they sound very innovative but I'm curious how you measure the ROI on them and how your expectations of these initiatives compare to things that you've done in the past in terms of, just specifically on the ROI?
Donald T. Grimes - Sally Beauty Holdings, Inc.: Well, honestly, return on investment on specific marketing investments can be a little slippery. We can hire lots of consultants to help us analyse that, based on a number of assumptions that can change over time. In many cases, it's just a matter of test, trial and then adjust and modify as appropriate. On some of the capital investments in the DCs, in particular, obviously, much easier to measure an ROI in terms of revenue lift and expense reduction, so it's a balancing act. Some things are more readily identifiable and some things are less readily identifiable and we apply our own judgment along with a quantitative analysis.
Christian A. Brickman - Sally Beauty Holdings, Inc.: That being said, all of those projects have clear KPIs against them that were used to justify their approval in the first place, and we're tracking all of those KPIs in our performance against them.
Olivia Tong - Bank of America Merrill Lynch: Perfect. Thanks so much. Appreciate it.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you.
Operator: And next, we'll go to line of Mark Altschwager with Baird. Please go ahead.
Mark R. Altschwager - Robert W. Baird & Co. Inc.: Great. Good morning. Thanks for taking the question.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Good morning, Mark.
Mark R. Altschwager - Robert W. Baird & Co. Inc.: First, I wanted to follow-up on the tax side, so 22% to 24% for the year implies, I think, a rate in high 20s for the balance of the year. Is that a good estimate for your go-forward effective tax rate? Any color there would be helpful. And then you mentioned you're expecting tax reform benefit to mostly fall on the bottom line because you're still evaluating potential investments. Just in that context, has there been any change to your thinking on the competitive pricing environment resulting from tax savings and the labor inflation given that that looks to have picked up in recent months? Or are these factors already embedded in the updated guidance that you provided?
Donald T. Grimes - Sally Beauty Holdings, Inc.: Yeah. Your math on the tax rate and the balance of the year is correct. We're in the range of 22% to 24% for the full year, taking into account the 3% plus tax rate in the first quarter. Obviously, fiscal 2018 is a blend of one quarter at the old statutory rate, three quarters of the new statutory rate, along with the one-time adjustments we recorded in the first quarter. So your math is directionally correct.
Christian A. Brickman - Sally Beauty Holdings, Inc.: And on the investments, Mark, again, part of the reason we launched this review of our cost basis, we recognize that there is going to be significant labor cost inflation and that we want to, actually, invest in better frontline pay in order to attract the best talent. And we also recognize that there were significant investments we're going to be making in the business. As a result well before tax reform was approved, we launched into this review and we now expect that there is going to be significant savings coming across our P&L that we'll be able to deliver both this year and next year. And that we expect to use that savings to fund most of those investments, which is why we expect most of the tax reform to flow through to shareholders.
Mark R. Altschwager - Robert W. Baird & Co. Inc.: That's helpful. Thank you. And I also wanted to ask the bigger picture question on capital allocation. How are you and the board thinking about the balance between balance sheet flexibility and the buyback program? Just given the current pressures on EBITDA and some of the uncertainty that's out there on the comp, I think there is some concern that there isn't a lot of room for error before the 3.25 ex leverage covenants come into play, which could disrupt the earnings growth algorithm. But on the other hand, valuation on the stock is near historic lows, so clearly, a value in being opportunistic with buybacks. So sorry for the long question, but just it would be great to hear how you're thinking about the puts and takes here versus what we've heard over the last few years. Thanks.
Donald T. Grimes - Sally Beauty Holdings, Inc.: Mark, that's a great question. And you kind of took the words right out of my mouth. I mean we're very comfortable in the range of 2.5 to 3.0 leverage ratio, maybe a little wider range than we talked about in the past. We're motivated to deploy our free cash flow in a way that's most beneficial to the shareholders, recognizing that too much leverage is not good, as we push closer to 3.25 – if we ever were to push closer to the 3.25 leverage ratio. So with stocks at the level they're at now, it will be hard to convince ourselves that some level of stock buybacks wouldn't continue to be appropriate. We finished the quarter with $99 million drawn on our ABL. If you look on the balance sheet and see our current maturities of long-term debt, that include the current portion of the new term loan that we took out in the fourth quarter of last fiscal year. So I think you're going to see a balance. You're going to see that as stock prices remain at their depressed levels I think we will continue to invest some of our free cash flow in buying back shares, not just to drive EPS growth because we think that's the best use of our free cash flow. But I think you also may see some of the incremental cash flow afforded by tax reform towards paying the ABL down closer to zero, which has been a level we've kind of had historically. We dipped into the ABL in a more meaningful way in Q3 and Q4 last fiscal year to buy back more shares. But it's kind of a balancing act. I think you'll see a continuation of that.
Mark R. Altschwager - Robert W. Baird & Co. Inc.: Truly helpful. Thanks a lot and best of luck.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you.
Operator: And next we'll go to the line of Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh - Oppenheimer & Co., Inc.: Good morning, and thanks for taking my question. I also had just one more follow-up on the tax rate. How should we think about the tax rate beyond this year?
Donald T. Grimes - Sally Beauty Holdings, Inc.: Well, beyond this year, at a federal statutory rate of 21% plus our state and local income taxes, you're probably looking at a rate in that 24%, 25% range.
Rupesh Parikh - Oppenheimer & Co., Inc.: Okay. Great. And then getting, I guess, to my main question, so you reiterate guidance for flat comp for the full year. And the results just Q1 maybe was actually weaker than your prior expectations. So I just wanted to get a sense at a high-level. What gives you confidence in your ability to get back to a flat comp for the full year?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. Rupesh, I think, it's exactly the right question. As we said, we did expect the first quarter would be the toughest quarter of the year for a variety of reasons. And there's a lot of reasons why the back half of the year should be better. Obviously, take BSG first, then I'll take Sally. On the BSG side, obviously, we had a negative calendar impact in the first quarter. But beyond that, as we look forward, one of the biggest drags on BSG comps has been category Y, our promotional category, that started to get fixed late in the quarter and it's trending positive now. So that gives us confidence. The core color and care categories by the way in BSG are growing well. We're making progress in shoring up the electrical category, which has been a drag on comps in the past quarters. We've found that by targeting key price points and then getting vendors to fund against those key price points that's helping us improve the trajectory there. And then in addition, obviously, we have some new product and brand acquisitions we expect in the back half of the year. And finally, the comps got much easier, obviously. On the Sally side, there are some of the fixes to the BCC program went in late in the quarter, the COL-LABs and Arctic Fox late in, very late in the quarter and seem to be performing well. We've obviously got some additional new product launches coming in, in the second half of the year. I also think the more focused marketing spend allocation will benefit the back half of the year as we reallocate our spend to better target customer demand. And then finally, I think we're going to see the benefits of all the investments in e-commerce, much stronger in the back of the year, as we begin marketing that program because the growth we saw in the first quarter was purely organic. We weren't able to market the capability really yet as we're building it in and we'll start marketing that as we go into the rest of the year. Finally, then there's some – as we complete the integration of our European businesses, we think we'll see acceleration there and we believe we'll see accelerating trends in Europe and Mexico in general. So lots of reasons for us to be confident in the back half of the year and that we should see improving comps.
Rupesh Parikh - Oppenheimer & Co., Inc.: Okay. Great. Thank you for all the color.
Operator: And next we'll go to the line of Jason Gere with KeyBanc. Please go ahead.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. Thanks. Good morning, guys.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Hey, Jason.
Jason M. Gere - KeyBanc Capital Markets, Inc.: I guess the first housekeeping is the change in the calendar on BSG. What was the magnitude of that impact? I apologize if you said that.
Donald T. Grimes - Sally Beauty Holdings, Inc.: No, we didn't. On the BSG comp itself, if you do the math on last year in the first quarter, the CosmoProf stores were closed on Sunday, December the 25. And this year, because the way the holiday calendar fell, we were closed on Sunday, December 24, and Monday, December the 25. And that extra day being closed with a Monday, which is, as you know, it's BSG's, by far, its strongest day of the week, when stylists are stocking up on their product. So just doing the math on being closed two days this year, the Monday versus one day last year, it was 160 basis points on the BSG comp itself.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay, so then BSG would have been positive if you normalized this and then obviously the impact of the hurricanes?
Donald T. Grimes - Sally Beauty Holdings, Inc.: Correct.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay, great. The bigger question I guess I have is, if you can – I guess look at the Sally side and then break out between the negative 2.5 between traffic and ticket, and I definitely want to focus a little bit more on the traffic and what – you have a lot of good initiative that are coming and I guess I'm trying to just parcel out between these initiatives. These initiatives that will drive traffic into the store or these initiatives that are going to improve the productivity inside the store when you get there, so – and really more helping the ticket. So I'm just – I guess, just more of a bigger picture question about traffic in general, what you saw on Sally during the holiday period, why you think maybe that'll get better and then the initiatives really helping more driving people in the store or really improving the productivity within the store, helping the ticket?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. It's really good and it's the core of what we focus on. Traffic is the core issue for Sally and that's what we talk about every day, Jason, so you've got it, you hit exactly on the head. What I would say is, things like better allocation of our marketing spend towards direct mail for an older consumer who doesn't really use digital mediums as well and then more social and digital for the consumer who's the younger consumer, that's all about traffic. New products and brands, especially exclusive products and brands like COL-LABs, Arctic Fox and the new Cody line I mentioned, that's all about traffic, it is all about creating some product stories that brings new people to our stores. And then finally, I think, we have to accept that there is a huge transition in e-commerce going on, which is why we started the investment nine months ago or so in our e-commerce fulfillment capabilities. And so really marketing the idea that we can deliver well over 90% of the country in two days and then getting a value for that so that we can supply their more immediate needs in beauty is all about traffic to our website and growing our e-commerce business. So all of the things we're going to try, whether it be on the other hand a great example is launching box color in Sally store is more about not losing a customer who obviously, today, maybe intimated by professional color at home and wants a box color option. Today, that customer would walk out of our store and go by that solution at mass. So that's one more about retaining a customer that's probably already in our store but we are not getting all of her needs because she is looking for a simpler solution there. So it is a mix of those, but I'll tell you what, traffic's number one and it's where we spend our time talking about above all else.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Yeah. Okay.
Donald T. Grimes - Sally Beauty Holdings, Inc.: As we noted, Jason, in the prepared remarks in our Sally stores in the U.S. in the quarter, our conversion, which is already quite high compared to other retailers, was up year-over-year. Our average transaction value was up year-over-year. Our conversion on our e-com site sallybeauty.com was up year-over-year. So a number of good metrics that indicate once the customers in the store, the selling model is working well, but it's a matter of getting the consumer into the store. Traffic is our number one challenge and initially they were focused on our design to improve our traffic trend.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. And then just one other question I was going to ask. If you look – and I appreciate the continued emphasis on the cost containment, the SG&A. I guess I want to go back to gross margin and how you're thinking about total gross margin. You guys have, obviously, are kind of, I would say, if you look historically speaking, you're probably towards the bottom of the range versus the peaks that you've seen in years prior. So there's been a lot of emphasis on the SG&A. Just maybe if you can talk about where you think gross margins can go companywide over the next couple of years as you kind of transition the business a little bit more e-commerce, obviously, focus on some of these higher margin areas as well, what's your outlook and your confidence level there?
Donald T. Grimes - Sally Beauty Holdings, Inc.: Well, as it relates to the balance of the year, obviously, we guided to flat gross margin for the full year in contrast to this modest gross margin erosion in the first quarter, so obviously we have expectations for better gross margin performance over the last three quarters of the fiscal year. What's driving that? The investments we made in our Sally distribution centers to enable the two-day e-com fulfillment is result and lower pick cost and lower freight cost because the point of origin for the e-com shipment is closer to the customer. It's also driving some additional efficiencies in the DCs themselves overall. We had a higher obsolescence expense in the first quarter related partly to some inventory write-downs related to the Sally U.S. strategic pricing adjustments that cause us to have to take some write-downs on some existing inventory that won't reappear in Q2 through Q4. We eliminated some low margin full-service customers in our BSG business that in order to improve the profitability of that business, that action was taken in the first quarter of the fiscal year, which will benefit our overall gross margin in the back half of the year. We expect a softening of the negative mix shifts in our international business. We noted that we had a shift towards the professional customer in our international business. We think that will moderate a bit in the back half of the year. And finally, we just hired a new Vice President of Loss Prevention and who is hyper focused on our shrink in our U.S. business of 4,000 stores we have in the U.S. and Canada. And so we're going to expect some improving shrink results in the back half of the year, in particular. So that relate specifically to the fiscal 2018 gross margin outlook. Your question was a little broader than that. We obviously are interested in improving gross margin. I would say and Chris can kind of chime in on this, that our biggest challenge is traffic and that translates into revenue growth. And so we can be more aggressive on price increases to improve gross margin but that has the corresponding impact of making us less price competitive with other retailers. I'm not sure we want to push gross margin as well as hard as we can and we have a number of initiatives inside the company that are designed to improve our profitability, but our number one challenge as a company is our top-line revenue growth, and we're working hard on that.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay. Great. Thanks a lot, guys. Talk to you soon.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thanks, Jason.
Operator: And next we'll go to the line of Beth (sic) [Steph] Wissink with Jefferies. Please go ahead.
Stephanie Wissink - Jefferies LLC: Hi. Good morning, everyone.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Hi, Steph.
Stephanie Wissink - Jefferies LLC: Most of our questions have been asked but wanted to focus in on some of the merchandising changes you're making on the SBS side. And you talked about adding cosmetics potentially a Cody brand maybe that's in the hair color, the box color? If you could maybe just talk about what's coming out to make way for some of the new initiatives? How we should think about maybe the category mix rebalancing within SBS?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah, so you're exactly right. So let me hit them as you talked about them. So for the cosmetics line, which was COL-LAB, which was launched last quarter, it's an exclusive line. We reduced our skincare assortment in order to free-up the space for that. As we bring in boxed color, our guess is we're going to be reducing our electrical appliance category assortment in order to free-up space for that as you enter the color category. As we bring in Arctic Fox is not that many SKUs so I don't think we're going to have to – we'll take a few color SKUs out to make room for it. The Cody line, I won't name it yet, because I don't think that's public, but it also is a vibrant color line that's very easy to apply. We would be taking out some of the slower moving items in our color category to make room for that. So in each case, I think we'll actually improve inventory productivity. There's also opportunities, we think, to take some space out of hair extensions and some other categories like that. So, lots of innovation coming in Sally. Teams are working hard to do that, but we will be pulling back on space and inventory allocation in some lower performing categories.
Stephanie Wissink - Jefferies LLC: That's great. And then this is a follow-up, as you think about overall the BSG business, and it's been a bit more variable, I think, even what the adjusted results from the calendar shift, a bit more variability there than we would have expected. Can you maybe talk a little bit about what you're seeing in that business? Is there a competitor dynamic we need to be considering regarding that end market? Maybe talk a little bit about what you would expect the kind of the long-term variability level to be in that business?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. Listen, I think, the core and I think what you'll hear from us is the core of BSG has been doing fine throughout all this. So, color and care have been growing nicely throughout all of this, that's the first, and that's 60% to 70% of BSG, so that's the core. Now we did, last year, experience significant drag in our category Y, which is our promotional category, our bundled promotional category that we work on with vendors. We've been working for quite a few months to fix that, starting to see that have a real impact in the very late part of last quarter and we're starting to see it now have exactly the impact we want as we head into Q2. In addition, we have seen some weakness in electrical appliance category in both businesses. Our feeling is that, that as a category, it's more subject to e-commerce competition and we've been working to think about what is the right strategy there, part of it will be to reduce the inventory we have allocated to it, but part of it will be to get much more aggressive at some key price points that we need to be at, in order to stem the decline there. I think the last thing in BSG that we expect to see is some new product launches or some new brand acquisitions with our vendors. This should help us drive performance as well in the back half. And then finally, we've got easier comps coming up. So, I think what you see in top line stability is, actually, the core categories have been very stable. It's really been in these ancillary categories. In some cases, we think we have the fix already done such as in our promotional category and we're still working on it in the electrical category.
Stephanie Wissink - Jefferies LLC: Thank you.
Operator: And next we'll go to the line of Simeon Siegel with Nomura/Instinet. Please go ahead.
Simeon Avram Siegel - Nomura/Instinet: Thanks. Good morning, guys. Chris, recognizing your point, that's going to take time to see the change in customer action, any early updates or learnings you can give us on the results of those price reductions? I mean, any tweak to the amount of SKUs or depth of production from your initial plan? And then, congrats...
Christian A. Brickman - Sally Beauty Holdings, Inc.: No, I don't think – sorry, go ahead, finish.
Simeon Avram Siegel - Nomura/Instinet: No, it's all right. I can follow up after.
Christian A. Brickman - Sally Beauty Holdings, Inc.: I don't think there's any tweak to the original plan. I think it was the right plan. We did see some competitive response to it. That being said, I think, like anything else, you got to think about the frequency of our customer visits, which is – our more frequent customers come four or five times a year and many customers come once or twice a year. So for many of those customers, they haven't even seen those price increases yet. So I think that's the more important thing to take away is that, that's going to take time to have an impact for people to see it in the check – in the price they pay for those products, and then hopefully drive on the message that, hey, we're competing and managing value on those key categories that they compare across channels.
Simeon Avram Siegel - Nomura/Instinet: Got it. Okay. It makes sense. And then, congrats on the improved e-com fulfillment. How large you think your own e-com business should reach and any thoughts on your own ability for the two-day delivery versus your Amazon relationship? Thanks.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Actually, I think, we recently saw an outside report that said that our service levels are actually better and some of the best in the beauty category, and I believe that first from Stella, was the outside organization that did that. We're excited about this. I think this is a big breakthrough for the category for us. It's a chance for us to take those people who really do want product delivered to their home in a quick way, which we were not delivering on previously for most of the country and suddenly be able to offer a unique value proposition around e-com delivery. So we're going to start marking that, I think as we go into March, we're going to start telling consumers about it. And a great example is in our UK business, our e-com is already 7% to 8% of our total sales. I think we've got to think big, we've got to be thinking 10% in that kind of range, for e-com over time. But the first step is – was to make these investments then start marketing it and then really drive the category.
Simeon Avram Siegel - Nomura/Instinet: Great. Thanks a lot. Best of luck for the year.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you very much.
Operator: Next we'll go to the line of Kelly Crago with Buckingham. Please go ahead.
Kelly L. Crago - The Buckingham Research Group, Inc.: Hi. Good morning. Thanks for taking my question. My first question is just around the cadence of your guidance, particularly on comps. So you pointed to back half acceleration in comps, particularly in 4Q, given the comparison, but you also had a pretty easy comparison in the second quarter. I think you were impacted last year by the tax refund delays in February. So if you could just provide any color there. And then also on gross margin, I think you saw the most benefit from the pricing actions you took last year in 2Q. So just any color around the cadence of your gross margin guidance as well.
Donald T. Grimes - Sally Beauty Holdings, Inc.: Yeah. And you know, Kelly, we don't give quarterly guidance, so we're going to stick to our full year guidance of approximately flat same-store sales and flat gross margin. We do expect the performance in the back half of the year, particularly Q4, given the hurricanes last year, to be better both up from a same-store sales perspective. But in terms of gross margin cadence we're not going to break it out by quarter.
Kelly L. Crago - The Buckingham Research Group, Inc.: Okay. And then secondly you've talked a lot on this call about your focus on driving traffic at Sally Beauty. You are benefiting quite a bit from the tax reform. Why not invest more behind marketing to drive traffic there, just any thoughts around that?
Christian A. Brickman - Sally Beauty Holdings, Inc.: So we are going to invest. We're going to invest more in a lot of different pieces here. And actually we've been working hard on a reinvestment plan in CapEx as well as in OpEx with the Sally Beauty team along a whole range of initiatives. I think my point though was, well before tax reform became real we knew we had to invest and we started working on a very comprehensive review of our cost base much broader than just overheads, made a lot of progress on that. And at this point in time we believe that the size and scale of that should fund the investments required. So I don't want you to hear that we aren't investing. We are going to invest in a significant way, but the reality was we had already knew that that was a challenge we had and already begun the work to make sure we could fund that out of our P&L. And there's no reason not to do that. We're going to execute and implement those. And then as a result of that, we think most of the tax reform will flow through to shareholders.
Kelly L. Crago - The Buckingham Research Group, Inc.: All right. Thank you very much.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thank you.
Operator: Next we'll go to the line of Linda Bolton Weiser with D.A. Davidson. Please go ahead.
Linda Bolton Weiser - D. A. Davidson & Co.: Hi. I wanted to go back to your comment about gross margin and pricing and how you didn't want to push price too much. I guess, I was always thinking that one of the key competitive advantages of Sally Beauty stores is that 80% of the SKUs are in no other retailers. But I don't know. Maybe that's not true anymore because you've been adding bigger brands. So could you update us about the percentage of sales in Sally Beauty that is exclusive of private label? And do you still intend to continue to increase your percentage by about a percentage point a year that used to be your goal? And then if that's the case, again, if you're only competing on a minority of SKUs with other retailers, why can't you push price? Thanks.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. Linda, I think it's a good point. We continue to launch private label products and that's obviously, part of the lifeblood of Sally and what differentiates it. And as an example in the box color I think we'll probably have a private label option as well as a known brand option. And so it continues to be just below about 50% of our sales.
Donald T. Grimes - Sally Beauty Holdings, Inc.: Sally Beauty U.S.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Correct. In Sally Beauty U.S. I expect it will continue to grow. It has been growing slightly faster than our total sales. So, yes, I think it will grow share. I don't know if it'll be exactly at 1% a year, but it will probably grow as a percentage. In general, what you saw when we took prices down, we did not take prices down on the private label products. We took it on the products that were directly comparable. And I do think there are some opportunities to take price on private label brands that are not as comparable. I just think Don's point is well taken which is we're putting a close eye on it because we recognize that our job one right now is traffic. And we're going to be cautious about that. And if we can take the money out of our P&L through cost reduction or through better negotiations with our vendors, whether that they be indirect or direct, we'll do that first before we take price increases.
Donald T. Grimes - Sally Beauty Holdings, Inc.: And let's say, Linda, on top of the gross margin improvement opportunity from introducing more owned brands and growing the sale of the own brands at a faster rate than the non-owned brands remains a priority. As Chris has talked about a couple times on the call this morning, doing a better job of negotiating on the private label, co-packing the manufacturing along with branded negotiation an important part of growing gross margin and those initiatives are designed to free-up the resource to invest what we need to invest below the gross profit line.
Linda Bolton Weiser - D. A. Davidson & Co.: Okay. Thank you.
Christian A. Brickman - Sally Beauty Holdings, Inc.: You bet.
Operator: And next we'll go to the line of Simeon Gutman with Morgan Stanley. Please go ahead.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Hey, guys. I want to drill down on BSG a little further. Can we talk about any changes that you may be seeing, how the booth renter is purchasing product, the frequency of the visit to your professional stores and then their frequency of changing pattern of buying online?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Yeah. I don't think there's a radical change in the pattern. We continue to see the fragmentation of salons over time and an increase in suite rentals and booth rentals. We do see them becoming more and more store customers. If there was one category I would point to where they might be buying more online or we think where they're buying more online, it's in appliances and electricals, because it's more directly comparable and all those products are available online at competitive pricing. In your core category, such as your color and your care categories, really, we're the only place you can buy at a wholesale price online or in-store. So I don't think we see a radical change in buying behavior, except in that electrical category, which is why we're really rethinking how much inventory we want to deploy there as well as how to hit very aggressive key price points in that category.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: And on the electric point, you're selling at wholesale prices. Is it a price equation or is it that it's a discretionary purchase that the booth renter has owned now and is no longer buying that category, or you're losing share there?
Christian A. Brickman - Sally Beauty Holdings, Inc.: In electricals, I think we have been losing share in both businesses over time, because it's just such a competitive category and it's so easy to compare prices online, and it's a larger purchase. So it's not surprising that people with a larger purchase would compare. So I think that's why we've got to take a hard look at the category. Again, it's not the core of what we do, it's not our highest margin category. But we need to take a hard look at it, and think about how we compete there and we're doing that.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Got it. Okay, and then I'm shifting to Sally Beauty Supply. Can you tell us, do you know the initial business or success you're having? Is that existing, does it skew towards existing customers or new ones? Are you seeing in the markets where it's doing well, I don't know if there's a diversity of how it's performing, but are you seeing any impact to your store traffic and then sort of putting it all together, is there a number if – for every basis point increase in your e-commerce penetration, is there some impact to your margin structure and is that contemplated into – within your guidance?
Christian A. Brickman - Sally Beauty Holdings, Inc.: So you're talking about e-commerce, I assume, just to clarify?
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Correct, yes, e-commerce, and mostly around Sally Beauty Supply.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Well, listen, I think a lot of the traffic is coming to us is new traffic as well as we're improving conversion with our current customers. That being said, if the category is so small for us today, then I don't think you're having a significant impact in the stores at the current level. Now, that dialogue will change, Simeon, if you get to a point where e-commerce is 10% of your business, then if it's going dramatically higher than your stores, then you may be cannibalizing some store business. But at this point in time, I think it's too early to tell. I doubt it's having any sort of dramatic impact on our store business. That being said, we knew we needed to make an investment here and change our trajectory.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Got it. And then, I mean any – from a financial perspective as well, the mix shift, as you're either shipping more or doing free shipping, is there a noticeable margin impact at this point or it's too small to see one?
Christian A. Brickman - Sally Beauty Holdings, Inc.: Not really. On the gross margin line, it's a little bit lower than the store gross margin, but at the current size and the current penetration that e-com represents, it's not going to have a meaningful impact on the SBS gross margin.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Got it, okay. Thanks and good luck.
Christian A. Brickman - Sally Beauty Holdings, Inc.: Thanks Simeon.
Operator: Thank you. And that was our last question. I'll turn it back over to Mr. Harkins for closing remarks.
Christian A. Brickman - Sally Beauty Holdings, Inc.: This is Chris Brickman. Again, thanks, everyone, for your questions today. To summarize, we fully recognize the need to reinvest in our business in order to drive future growth. And we have aggressive plans to upgrade or e-commerce platform, our store technology, our merchandising system, our loyalty and CRM capabilities, our in-store experience, our marketing and our associate compensation strategy. In order to fund those investments, we have been working on a comprehensive review of our cost base that we believe will generate additional margin improvement and cost reduction opportunities that should create significant capacity for reinvestment. We believe the successful implementation of these profit improvement initiatives will enable us to deliver significant earnings per share growth in the short- to medium-term while making the business more competitive in the long-term. Thank you for joining us today.
Operator: Thank you. And ladies and gentlemen, this conference will be available for replay starting today at 9:30 AM and going through February 15 at midnight. You may access the AT&T Teleconference replay system at any time by dialing 1800-475-6701 and entering the access code 439133. For international participants, the number is 1320-365-3844. Again those numbers are 1800-475-6701 and 1320-365-3844 and the access code is 439133. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference service. You may now disconnect.